Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Preliminary Results for First Quarter 2013. [Operator Instructions] As a reminder, this conference is being recorded. I'd now like to turn the conference to our host, Chief Financial Officer, Meir Moshe. Please go ahead.
Meir Moshe: Thank you. Good morning, and welcome, everyone, to our conference call. With me today is Mr. Roy Zisapel, President and CEO. Today, as you know, we announced preliminary results for our first quarter of 2013. Following our remarks, we will open the call for Q&A. First, I would like to review the Safe Harbor language. During the course of this conference call, we will make projections or other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution you that such statements are just predictions and that actual results or events may differ materially, including, but are not limited to, general business conditions and our ability to address changes in our industry, changes in demand for products, the timing and demand of orders and other risks detailed from time to time in Radware's filings. We refer you the documents the company files from time to time with the Securities and Exchange Commission; specifically, the company's last Form 20-F, filed in March 2013. And now, ladies and gentlemen, for the preliminary results. As stated in our press release, released earlier today, revenues for the first quarter are expected to be $45 million, below the company's guidance of $48.5 million to $49.5 million. Non-GAAP EPS is expected to be $0.30 per diluted share compared to guidance of $0.40 to $0.43 per diluted share. More detailed financial information will be provided to you in our planned Q1 earnings conference call, which will take place on Thursday, April 25 at 8:45 a.m. And now, I like to turn the call over to Roy.
Roy Zisapel: Thank you, Meir. As we announced in today's press release, our revenues for the first quarter were below our expectations. While our Americas business continues to enjoy strong momentum, we faced difficulty in closing projects in EMEA and, to some extent, in China. When analyzing the results with our EMEA team, we see that we continued to win new accounts at the same pace as before. However, our orders from existing Radware customers were lower than anticipated. This was a result of longer decision processes and lengthening sales cycles, which we believe are attributed to the current economic condition in the region. We will provide more details and an analysis of the results in our coming Q1 earning conference call. Despite our first quarter results, we continue to be optimistic on the strong growth drivers supporting our business, including cloud and virtual data center build-outs and increased demand for cyber attack protection, as well as our continued traction in the Americas. With that, I would like to open the call for Q&A.
Operator: [Operator Instructions] First, we'll go to the line of Mark Sue with RBC Capital Markets.
Mark Sue - RBC Capital Markets, LLC, Research Division: If I look at the market for ADCs and I look at how Cisco has vacated the market and, if anything, the environment is actually a little bit better, it would lead to more conducive -- or it's more conducive for positive results from you and also F5, but instead, we had 2 pre-announcements. When you point to elongated sales cycles and you look at the analysis, is that somewhat related to changing dynamics in the market or is it related to the impact of SDNs? Or is it related to kind of people rethinking their architecture? Any help there or is it really the market not growing anymore?
Roy Zisapel: Okay. I don't think it relates to any architecture change or SDN. SDN thoughts, even on Layer 2, Layer 3, are really on the design board and futuristic architectural implementations. They -- we don't see them happening, I don't think, in 2013, at all in large enterprises and carriers. As it relates to Layer 4-7, it's even much more far-fetched than that. So while we do work on SDN implementations, we see that, actually, as a catalyst for security on Layer 4-7, but we don't see it happening in 2013. As it relates to the overall market conditions of the ADC market, our analysis points to specific issues we had in EMEA. As I've mentioned, for example, our Americas business continued to go strong and we believe that ADCs, even in an economic uncertainty situation, is a great market to be in. It helps our customers to optimize the infrastructure they have, to actually postpone new investments in networking and server infrastructure, and really get whatever they can from their existing infrastructure, while increasing performance and availability. So we've been through 2 large downturns like the bubble burst in the financial crisis and ADC market continued to grow, and I believe it's a very, very strong and solid market for years to come. So I don't have anything that I can relate to the industry as a whole. We had a very weak business in EMEA this quarter. That's what I can share with you.
Mark Sue - RBC Capital Markets, LLC, Research Division: All right. Historically, if I look back and when you guys preannounced before and when around F5 preannounced before, there were times, asides from the macro, where there was consolidation in the industry, [indiscernible] to explain [indiscernible] making an acquisition that caused a lot of pause in -- with your customer base. Is there anything else that's kind of impacting this pause and elongated sales cycles? And the deals that did slip, did you recover some of that, or is it still too early?
Roy Zisapel: I -- we were really surprised by these results, so I cannot tell you that we see something that is industry-wide and so on, and it's also very early in our analysis cycle. Regarding the deals that postponed, it was not a single deal or 2 deals. We saw quite significant amount of orders in EMEA, and as I've mentioned in our prepared remarks, also in China, that we were not able to close. Some, but a small portion of that, was already closed. But we are tracking them, and our sales team is optimistic regarding the business. So the indications I am getting from -- and I've spent a lot of time this week with individual -- with the individual sales leaders in EMEA and in APAC. The indications continue to be favorable. The majority of those deals are in existing Radware customers; many customers that are satisfied with our solutions, that are expanding or upgrading their infrastructure. And the team believes that they are tracking well in these deals. So I don't have anything else currently that -- more information that I can provide.
Mark Sue - RBC Capital Markets, LLC, Research Division: Lastly, Meir, with the lowered growth rate for the calendar year, how should we think about total OpEx for the year?
Meir Moshe: No, about the OpEx, as Roy mentioned, that we don't see an impact on the long-term business. It's too early to think about changing the structure of our investments. So we'll continue the investments. We should bring all the -- all that depends from higher sales. I don't see the company making any significant changes, specifically not now that we are only a couple of days after the quarter ended.
Roy Zisapel: And I want even to strengthen that. We -- and I mentioned it in my remarks. We strongly believe in the strong drivers in the market, both in application delivery and in cyber security. And we're seeing more and more opportunities and significant large deals that we were not exposed to before. Yes, the cycles are longer, but we are very committed to this market, and we will continue to invest and ramp-up our investment as we've planned.
Operator: And next, we'll go to the line of Alex Henderson with Needham & Company.
Alexander B. Henderson - Needham & Company, LLC, Research Division: Roy, Meir, so just a quick question on the full year. Given what you've seen here in 1Q, given the slippage, do you think that this reduces your expectation for the full year revenue number? Or do you think it's something that is going to persist in a sluggish condition? When I talked to the VARs [ph] in the U.S., I've not been hearing that business is weakening, but rather that they came into the year with a weak portfolio of leads and that they've strengthened those leads and have a strong activity book going into 2Q. Should we be looking out beyond this lull in closure to a better year in the back half and therefore, maintain our estimates?
Roy Zisapel: So, we are -- so, Alex, we're not providing guidance for the full year and definitely, we will not provide one right now. As I've mentioned, in the Americas specifically, we continue to grow significantly and we see very strong opportunities. So we're quite confident in the growth potential for the full year in the Americas, and we're very optimistic on this business. Regarding everything, the overall business and the guidance, I think in the quarterly earnings release on April 25, we will share guidance for Q2. But definitely, we will be cautious, given the demise that we had now. But yet, fundamentally, we believe the market is strong and growing, and we should take a bigger share.
Alexander B. Henderson - Needham & Company, LLC, Research Division: Just to be clear, I'm not asking you for guidance. I'm asking you whether you would change your full year thinking or whether you had -- your full year thinking has been adjusted as a result of the starting point for the year.
Roy Zisapel: It's not a good starting point to meet the same expectation, Alex, so I definitely need to think about it. But fundamentally, I believe we should do our plans for the year, absolutely.
Alexander B. Henderson - Needham & Company, LLC, Research Division: Okay. So then the second question is when you talk about strong in the U.S., is that rate of growth comparable to what you've been doing in the U.S., so that if I were to look at the sort of trajectory of year-over-year growth in that business, there hasn't been a delta change in that trajectory, and that this is really 100% outside of the U.S.? Or is the U.S. also, while strong, slow somewhat?
Roy Zisapel: So the U.S. overall is still growing strongly. It's not in the 30s, but it's -- the Americas overall, and we will share the exact result on the quarter, is growing very strong. And our forecast also for the coming quarters is on very high growth rates. So we are very optimistic on this side of the business. I don't think it is slowing down.
Alexander B. Henderson - Needham & Company, LLC, Research Division: Okay. And was there any delta between service provider and enterprise within the mix? A lot of the F5 comments centered around federal and service provider and said that their enterprise was "okay." Is yours more an enterprise business outside of U.S., or is it more service provider? How would you characterize between the segments?
Roy Zisapel: I don't see the difference between them. The only segment that was weak across the board was government, but that was expected also. It was not a surprise also for the European business that the government will not be the same spender like a year ago. But between carriers, service providers and enterprise, I cannot point to weakness in carriers and service providers.
Operator: And next, we'll go to the line of Joseph Wolf with Barclays Capital.
Joseph Wolf - Barclays Capital, Research Division: I'm wondering, this is a sort of a follow-on to that, if there were any particular vertical industries that were the cause of this. And also, just in terms of the -- with the earnings call to the end of January, how quickly it feels like the environment changed on you for the year, for closing a quarter the way it closed in the end? And then were there any bright spots in the quarter and, particularly, on the attack mitigation? There's been a lot of talk about denial of service attacks in a lot of the popular press, and I'm wondering if we could punch any bright spots in the quarter.
Roy Zisapel: Okay. So first, regarding segments, as I've mentioned, it was more geography-based than segment-based. I've mentioned the government weakness, but I don't think that's something that should stand out. It's definitely part of the planning process. Regarding the quarter, I can tell you that until the very last days, our teams were still thinking that they are on plan and that they will close as they expected. So it definitely surprised us. You need to remember also that Q1, historically, is relatively back-end loaded. People are coming back from vacation, 15th of January. Nothing happens in -- really, in the first month. The last month is the largest booking and revenue month of the quarter. So it's a bit harder to forecast those or to understand you are in a real problematic situation in Q1; having said that, we will need to be much more diligent and much more accurate in looking on those deal cycles in EMEA this quarter and this year. Regarding bright spots, I've mentioned Americas. I think, overall, we are also seeing traction, increased traction with our business partners and specifically Check Point. It's not yet in the numbers, but we're definitely encouraged about the development in these relationships. And I think it will help us and contribute nicely to this year revenues. And security in the Americas was strong, obviously. We are doing a lot of projects and a lot of new projects are opening up. Some of these are in evaluation, in different cycles. But definitely, we're seeing very large opportunities because of the increased cyber attacks. As I've mentioned also in previous calls and discussions, our business in cyber security is about protecting against these attacks. Countries that are suffering less are also investing less. But when there is a wave, like in the Americas, there's definitely a very, very high level of activity, projects, unbudgeted funding and so on.
Operator: [Operator Instructions] Next, we'll go to the line of Rohit Chopra with Wedbush.
Rohit N. Chopra - Wedbush Securities Inc., Research Division: Roy and Meir, I had 3 questions. I just wanted to get a better sense of what actually happened in Asia. I think we all understand the European theater, but I just want -- no one's really talked about Asia. So I want to get a better sense of what happened there. Roy, could you also talk about, maybe from a product standpoint, was this more high-end stuff which was getting delayed? Or is it across the board, all the way down to the low end? And the last piece, I just want to get a sense on competition. Is this also creating some longer evals? I think F5 sort of alluded to that yesterday. So the fewer IRPs that are out there, there are definitely more people sort of vying for that business. Just want to get a sense of a competitive landscape.
Roy Zisapel: Okay. So regarding Asia, again I mentioned it, we didn't have a good quarter there, but it's not -- the key problem was EMEA. In Asia, the main weakness was in China in -- again, in deal cycles. We are evaluating there the situation. But overall, our expectations from that region are solid, also going forward. Regarding the type of product, we've seen it in many customers and across the board. Generally, in the enterprise customers, those are lower-end -- the lower-end products or middle of the range products. Obviously, carriers and large enterprises, it's the high-end, but we've seen it across. So I cannot point to a single -- that the low-end was strong and high-end was delayed because of size of deals. That's not what we've seen. Regarding competition, definitely there's not more players. Actually, with Cisco going out, there's less players. And as I've mentioned, the key issue we faced was not in new customer wins, but actually, in EMEA, especially in getting the business to the extent we were expecting and forecasting from our existing customers. In our existing customers, there's much less competition in most of these deals. It's really pushing the sales cycle forward and concluding the deals. So while, obviously, competition is intense, I didn't see this quarter something that is uniquely different. We have seen F5, in the end of the quarter or the third month, with much lower prices in the market, but I don't see additional competition or such activity that hurt us this quarter.
Operator: And next, we'll go to the line of Jess Lubert with Wells Fargo Securities.
Jess L. Lubert - Wells Fargo Securities, LLC, Research Division: Maybe just first question, following up on Ro's question. Can you talk about what you saw with respect to average deal sizes in the period and how that's kind of trended over the last few quarters? And then, I heard you mention good momentum with Check Point, but I didn't hear any comment with respect to what you were seeing with Juniper. Can you update us on what you're seeing in the Juniper channel?
Roy Zisapel: Okay. So all this information and the more detailed analysis of the quarter and the different partnerships, with your permission, I would like to defer to our earning call. Obviously, we're not -- we don't have in front of us all the detailed information. And therefore, I will -- we can discuss it in more length in our quarterly call. Specifically, on Juniper, we generally get the booking information 2 to 3 weeks after the quarter ends. So we don't have even this information in our hands.
Jess L. Lubert - Wells Fargo Securities, LLC, Research Division: Roy, any sense to what degree the timing of the Easter holiday played a role in some of the weakness that you saw, particularly in Europe?
Roy Zisapel: It can be a good excuse, but frankly, we should do a better job in managing the deals in this climate and we did not. And we need to catch up in this level -- in this geography on our execution levels. We knew when the Easter holiday is coming into the quarter.
Operator: And next, we'll go to the line of Michael Saloio with Oppenheimer.
Michael Saloio - Oppenheimer & Co. Inc., Research Division: Most of my questions have been answered at this point, but I thought I would ask just quickly, on the Strangeloop acquisition, if there was any changes to your thinking of the initial guidance you gave upon the acquisition.
Roy Zisapel: Not currently. We are very early in the cycle, and we also had a quarter end, so nothing to report there.
Operator: Any closing remarks, sir?
Roy Zisapel: Okay. Thank you, everyone, for joining us today, and we look forward to our discussion on the 25th of April.
Operator: And, ladies and gentlemen, that does conclude your conference for today. Thank you for your participation in using AT&T Executive Teleconference. You may now disconnect.